Operator: Good morning, ladies and gentlemen, and welcome to the Osisko Gold Royalties Q4 and Year 2024 Results Conference Call. After the presentation, we will conduct a question-and-answer session. [Operator Instructions] Please note that this call is being recorded today, February 20, 2025, at 10 AM Eastern Time. I would now like to turn the meeting over to our host for today's call, Mr. Jason Attew. [Foreign Language]
Jason Attew: Good morning, everybody, and thanks for being on today's call. For those of us in Quebec or Ontario, I hope the run on snow shovels will be behind us soon, so we can turn our minds to more temperate outdoor activities. Procedurally, I'll run through our prepared presentation and then, we will subsequently open up the line for question-and-answer session. For those participating online via the webcast, you can submit your questions in advance through the webcast platform. Today's presentation will also be available and downloadable online through our corporate website. Please note, there are forward-looking statements in this presentation from which actual results may differ. Also, please note that given we have now officially shifted our presentation currency to U.S. dollars, the basis of presentation will all be in USD, unless otherwise noted. I'm joined on the call this morning by Frederic Ruel, the company's Chief Financial Officer and VP, Finance amongst the others as indicated on Slide 3. When looking at Osisko's full year 2024 and as noted in our preliminary Q4 '24 numbers that we released back in early January, the company had a very solid year, all things considered/ Osisko earned 20,005 gold equivalent ounces in the fourth quarter of 2024, which allowed us to end the year at 80,740 GEOs in aggregate, a figure that came in slightly above the midpoint of the company's revised guidance of 77,000 to 83,000 GEOs for the full year 2024. Buoyed by strong precious metals prices, Osisko achieved record annual revenues of $191.2 million at a peer-leading cash margin of 96.5%. Thanks to another strong annual performance from our cornerstone 5% royalty at Agnico Eagle's Canadian Malartic Mine as well as impressive results from our other operating partners. Osisko ended the 2024 year with $59 million in cash and net debt of just under $35 million after the company paid down almost $85 million against its revolving credit facility throughout 2024. Recall that draws against the facility were made in Q4 '24 upon the closing of both the Dalgaranga Royalty transaction as well as the Gibraltar Silver Stream amendments, both of which were announced and closed last year. With respect to our ongoing commitment to return capital to shareholders, the company declared and paid its quarterly dividend of $0.065 per share in Q4, marking its 41 consecutive dividend with over $360 (ph) million return to shareholders from these distributions. Subsequent to the quarter, Osisko's Board approved a quarterly dividend of $0.065 per common share payable on April 15, 2025 to shareholders of record as of the close of business on March 31, 2025. Not only does our long-term growth trajectory still spell great things coming for Osisko five years out, but the company is also still expecting GEO delivery growth in 2025 over 2024. However, the slope of that growth is likely less steep than we previously anticipated. More on that later. We're extremely proud of the just under $300 million of transactions that we committed to and/or closed in 2024, marking that the second consecutive year in which Osisko deployed capital of a similar quantum. With respect to our opportunity set, the company's pipeline continues to remain robust with our corporate development team running at full steam. And we remain optimistic that Osisko will complete at least one or possibly two meaningful transactions in 2025. We now pivot to the company's financial performance for the full year of 2024. For those that are interested, quarterly numbers for Q4 can be found in the appendix of today's presentation. As previously noted, annual revenues were a record for the company and effectively tracked higher year-over-year precious metal prices, despite lower reported year-over-year GEO deliveries when compared to the full year of 2023. 2024 net earnings of $0.09 per share represented a substantial increase over 2023, the latter of which was affected primarily by significant non-cash impairment charges on investments. Most importantly though, 2024 saw yet another year-over-year improvement in cash flow per share, the seventh consecutive year of cash flow per share increases as well as positive annual adjusted earnings of $0.52 per common share. As at the end of 2024, the company had 21 producing assets with the addition of our newest production asset, the Namdini mine in Ghana, where it was reported that the mine did reach the significant milestone of pouring its first gold in November of last year. Osisko's GEOs earned in 2024 come predominantly from Canada, and we derived just over 93% of our GEOs from precious metals, gold representing 67% and silver at 27% with the remainder coming primarily from copper. In terms of contributions to Osisko's GEO delivery profile, a key difference heading into 2025 is that the other category, now primarily consists of copper versus previous years where that category used to primarily consist of diamonds. This will continue going forward as 2025 should be the first full year of contributions from the CSA copper stream. Osisko's near-to-medium term will see additional base metal contributions in the form of South32's Hermosa/Taylor and Marimaca Copper's MOD project. Some comments on specific mine performances during the 2024 year before speaking about a couple of our more material assets in greater detail. The Canadian Malartic had yet another impressive year as Agnico continued to source ore feed primarily from the Barnat Pit. The asset remains Osisko's most significant contributor to GEOs earned by a solid, solid margin. We don't expect that to change anytime soon and we could not be more pleased about this. Performance from Capstone's Mantos Blancos operation unfortunately experienced a year-over-year decrease in large part due to milling rates well below Phase 1 expansion design levels of 20,000 tonne per day. Recall that given our two-month lag of the Silver Stream from Mantos, Osisko's GEO delivery year effectively ended on October 31, 2024. Now the good news is that since then, Capstone has reported in the final two months of 2024 and now also into 2025. The mill has been operating comfortably at Phase 1 nameplate throughput. We truly believe that as it relates to the previous throughput bottlenecks at Mantos Blancos, Capstone has officially turned the corner. I'd like to recognize their operational team on the significant achievement, and I'll speak more on Mantos Blancos later in my remarks. As it relates to other assets, I would highlight how quickly MAC Copper’s CSA has become a key asset for Osisko and that should continue into both 2025 and for many, many years to come. We believe we are now in the early innings of what will be ongoing and meaningful GEO growth coming from the Alamos Gold’s at Island Gold District, especially as our partner looks to complete its Phase 3 expansion at Island, including the shaft in the first half of 2026. As I mentioned earlier, the number of currently producing assets in our portfolio actually stands at 20, if Namdini is excluded. And despite our understanding that the mine poured its first gold back in November of 2024, our first meaningful payment from Namdini is now expected to be received in the second half of 2025 and will bring the number of producing and/or paying assets to 21. At this stage, in terms of our organic growth, we're expecting this 21 number to stay flat through 2025 with no new assets already in the portfolio expected to come online between now and the end of the year. If one were to ask what differentiates Osisko from its peers, jurisdictions with limited geopolitical strife is certainly at the top of the list. On Slide 8, Osisko's exposure to Tier 1 mining jurisdictions, which we've defined as Canada, the U.S. and Australia is second to none. This slide compares Osisko to its peers on a net asset value basis, so it accounts for both current and future exposure. As you can see, Osisko stands out versus its relevant peer set by a very sizable margin. This peer-leading exposure to Tier 1 mining jurisdictions remain a top consideration when assessing new opportunities for our company. As such, it is no accident that Osisko was the only company amongst those on the page that in 2024 to have actually increased its NAV exposure in these jurisdictions, primarily through the Dalgaranga acquisition and the Gibraltar amendment. I would like to note that if you were to strictly look on a GEO basis for 2024, our exposure to Tier 1 mining jurisdictions is roughly the same as our net asset value at 78%. Before I discuss Osisko's updated 2025 guidance and 2029 five-year outlook, I wanted to take some time to highlight a couple of our key assets in our portfolio. And I'll start with the asset that will likely be providing the biggest number of positive external catalysts to Osisko in 2025. At least as it relates to crystallizing its pathway towards future growth and that is Alamos Gold, Island Gold District. Prior to the completion of the Phase 3 expansion shaft at Island in the first half of 2026 and the subsequent doubling of underground mining rates, Alamos is expecting to roll out a trifecta of good news over the next 12 months. In fact, we've already received the first of the three pieces of good news with Alamos recently announcing the ninth consecutive annual increase in reserves. This updated mineral reserve will serve as a basis for an updated life-of-mine plan at Island Gold District which now obviously includes Island Gold, Magino and the Magino mill. This life-of-mine plan is the second piece of good news and is expected to be released in mid-2025. Finally, before the end of the year, Alamos is expected to release the results of an Island Gold District expansion study which could potentially see underground mining rates increase beyond the current expectation of 2,400 tonnes per day. We would expect or we would recommend our shareholders to continue to watch this space as Alamos continues to take what was already a phenomenal asset and makes it even bigger and better. Just under a week ago, Agnico Eagle provided a comprehensive update as it relates to our cornerstone asset, the Canadian Malartic Complex and as always, there were certainly some key items of note. First, the asset's 2025 guidance was decreased slightly versus previous expectations due to Agnico finishing off the necessary technical work to allow for continued in-pit tailings disposal. This work is expected to be completed in Q2, meaning the main impact of this adjustment will be seen in the first quarter. Second, what could be seen as a modest loss of ounces in 2025 as being more than made up by increased production from the mine in 2027, surpassing previous expectations. Largely thanks to progress being made underground with Odyssey, now expected to contribute an impressive 240,000 ounces to the overall mix at Canadian Malartic that year. Of note, for 2026, expectations were largely unchanged. Thirdly, exploration continues to be a key focus for Agnico at Canadian Malartic with $40 million of spending expected in 2025. These results will help provide the geological data that will inform future expansions at Odyssey, including a conceptual second shaft scenario. Exploration initiatives continue to pay dividends for Agnico with Agnico last week announcing the discovery of the new underground Eclipse Zone, which is fully covered by a 5% royalty. Finally, some additional information was provided in terms of Agnico's vision to bring the Complex to 1 million ounces of production in the 2030s. This would include a second shaft in addition to the recently consolidated regional opportunities to quote-unquote Fill the Mill studies are underway on Marban, on which Osisko has roughly a 0.9% NSR for a 15,000 tonne per day through the Malartic mill as early as 2033. While Agnico is looking at Wasamac supplying 3,000 tonnes per day at some point going forward. And while Osisko has no royalty on Wasamac, it should be noted that we've received our $0.40 per tonne royalty -- milling royalty as well as if -- when Marban does come into the Canadian Malartic milling complex. Now quickly revisiting Mantos Blancos on Slide 12 and more specifically as it relates to our 2025 outlook. As previously noted, we remain convinced that Capstone has now put the throughput bottlenecks behind them. As further evidenced by the information they released last night after market close. However, while the plant's throughput challenges have seemingly been solved, silver grades are not expected to pick up until the second half of 2025. And this provides a good segue as we move into the next slide. On Slide 13, where we've outlined both the company's 2025 GEO delivery guidance as well as the updated five year growth outlook to 2029. Starting with 2025, Osisko expects GEO's earned to range between 80,000 to 88,000 in 2025 at an average cash margin of approximately 97%. The 2025 guidance assumes Capstone's Mantos Blancos mine will continue to operate at its Phase 1 nameplate throughput capacity of 20,000 tonnes per day as well as the commencement of meaningful payments associated with the GEOs earned from the Namdini mine in the second half of 2025. In addition, the guidance assumes a full year of GEOs earned from the copper stream from MAC Copper's CSA mine and the NSR royalty at G Mining's TZ Mine. And while we are extremely excited to have the CSA copper stream as a growing material contributor to our overall GEO delivery mix, our new 2025 guidance reflects the current consensus copper-gold ratio which is obviously tilted in gold's favor as of late. This might technically impact GEO guidance, but clearly, we're not complaining about a nearly $3,000 per ounce gold price as it relates to our growing cash flows, given we are still about 94% exposed to precious metals. While we previously had expected to see a larger step change in 2025 over 2024, we have provided what we think is a realistic range based on our very recently updated understanding on the following. A, the mine sequencing at both Agnico's Canadian Malartic Complex and the AK deposit at Macassa. B, the silver grade sequencing at Capstone's Mantos Blancos mine over the course of the year. And C, slower than previously anticipated ramp-ups from some of our newer production assets. After considering these more asset-specific profiles, our expectation is that the GEOs delivered to Osisko in 2025 will be back-half weighted, likely close to a 45-55 split. Switching to the updated five-year outlook to 2029, it shouldn't come as a surprise to anyone to see this range lower than our last year's 2028 outlook, due in large part to the absence of the Eagle mine. In other words, Eagle is not included in our 2029 outlook. Osisko had been previously expecting approximately 10,000 GEOs earned from Eagle for that future year. Eagle has now been partially offset by the addition of Dalgaranga where first production could come as early as late-2026. In terms of new development assets expected to contribute about half of this overall growth, we are only officially including Dalgaranga, Windfall, Hermosa and Marimaca within these estimates, with the balance of the growth to be fueled by the expansions and production profiles from some of our other key operating partners. In addition, we've included the Mantos Blancos Phase 2 expansion in our optionality bar but we'll have a better idea on the timeline there in the fourth quarter of this year, at which point, Capstone is expected to release an updated technical report for Mantos, including the feasibility study work around the planned Phase 2 expansion to 27,000 to 30,000 tonne per day of planned throughput. I'll once again reiterate, as I often do that all of the growth you see here out to 2029 is completely bought and paid for. In other words, there is absolutely zero contingent capital associated with the Osisko realizing its GEO delivery growth over the next five years. Finally, touching briefly again on Eagle, progress under the direction of the Internal Review Board, the receiver and the territorial government continues to move forward, but slower than previously expected. Based on what we understand today, the Internal Review Board is scheduled to provide its final report on the root cause analysis to key stakeholders, including the receiver by no later than June 15 of this year. Underpinning this updated growth profile is a list of near-term catalysts from our key assets that we provided on Slide 14. With additional catalysts provided in this presentation's appendix. We've already highlighted what we can expect from Agnico, Alamos and Capstone but as many of you know, exciting details continue to emerge in terms of future growth and expansions at our other key assets, including MAC Copper CSA. On the newer asset slide of things, I would flag that expectations have been set by our new partner, Spartan Resources to have a feasibility study completed on the Dalgaranga project by mid-2025, which we think will be followed quickly by a final investment decision given this brownfield project is now fully permitted and also largely funded. Finally, we'll end the formal part of the presentation on Slide 12, which outlines the current state of Osisko's balance sheet. Sorry, we're on Slide 15, correct? All in U.S. dollars, our new presentation currency as of this quarter. At quarter end, we had total debt of just under $94 million and net debt of only $35 million. As we stated previously, the covenant performance is exceptionally strong with our 96% cash margins experienced in 2024, and expected to continue throughout the year, thanks to our royalty-heavy portfolio of producing assets. Our much improved balance sheet is one of the key achievements we are proud of in 2024, especially in light of the near $300 million of new transactions closed or committed to over the same time period. As I mentioned in the past, despite our impressive organic growth profile, Osisko doesn't expect to sit on its hands in 2025. Our financial position provides the company with the capacity and flexibility to continue its strategy of disciplined allocation in the pursuit of high-quality, accretive precious metal streams and royalties that will bolster the company's current and near-term GEO deliveries and cash flow that should accrue to our shareholders' benefit. And with that, I'd like to thank everyone for listening today. We'll now open up the line for questions as well as questions posted on the webcast. If we don't get to all the questions on the line, we'll make sure to respond offline to those that we don't cover during this webcast. Joel, operator?
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] And your first question comes from Tanya Jakusconek with Scotiabank. Your line is now open.
Tanya Jakusconek: Great. Good morning. I think that's me. Good morning, team. I just wanted to circle back on the -- firstly, the outline for 2025 and you did mention the 45:55, Jason, for the production profile. Does that mean that Q1 and Q2 are relatively equal? Again, I know pricing changes this, but on what we know today is Q1 -- are Q1 and Q2 equal? And then we see that stronger Q4 and we have a bigger bump in Q3. I'm just trying to understand the year.
Jason Attew: Yeah. Look, very good question. Thank you, Tanya. And as you can appreciate, we don't give quarter-to-quarter guidance. However, what we can say is certainly as we said in my remarks that Q2 does pick up. The one of the bigger drivers with our -- obviously our core asset being Canadian Malartic and they've disclosed this will have a weaker-than-anticipated, what we anticipated Q1. So you can think Q1 will be the weakest quarter over the 2025 with obviously some improvement going into Q2, representing again about 45% of the GEOs delivered and then the back half Q3, Q4 and with Q4 having the effectively Q3, Q4 having stronger quarters and making up that 55% of the GEOs delivered over the course of 2025. I hope that provides a little bit more clarity.
Tanya Jakusconek: Yeah. No, it's -- I was just looking at some of the ramp-ups that you had mentioned, definitely Canadian Malartic made sense and then just Namdini royalty -- Namdini's contribution would be the other one coming in the second half. So I think we got all of the ones in line for that profile. Second question I have has to do on your capital allocation. So second question is on the business itself, the transaction opportunities and then the third is on the dividend and share buyback. So just on my second question, which is the investment in the business. I just wanted to ask again what are the opportunities that you yourself are seeing out there size-wise and sort of, are you focused on production versus development. And then I'm interested in the bigger opportunities that are out there. How big could you go and would you be interested in syndications of any transaction? So let's start there.
Jason Attew: There's a lot to unpack there. Thank you, Tanya, for that question. Maybe I'll start firstly with the last question around syndication. Obviously, in 2024, as everyone knows, we did do a syndicated deal with Franco. So I think that answers the question that we're certainly open to doing syndicated deals. We think it makes a lot of sense in certain circumstances. And obviously the deal that we did with Cascabel, there was a unique set of circumstances that benefited both ourselves and Franco. So certainly are open to syndicated deals and that also feeds well or relates to your question on sizing because clearly, if we did do syndicated deals being Osisko and intermediate gold and royalty streaming, we can certainly punch well above our weight and look at transactions around the $1 billion, $1 billion plus again if we did some smart syndication. And again, that flows into the opportunity set. So the opportunity set currently, I would say, is very robust, where our team has certainly got a lot of files that we're working through. I wouldn't say though in caution, the analysts and investors, I wouldn't say it's as frenetic as it was mid-2024. We're certainly seeing some opportunities specifically in the copper space, either being paused and/or groups just doing more studies. And as you can appreciate, these big expansions and/or acquisitions or development builds with base metal copper assets in particular are multi-billion dollar commitments. And again, as you know, obviously, gold has significantly outperformed copper over the past at least six, seven months. So we're starting to see some trepidation, let's just say, by various boards and others of fully endorsing projects that are $1 billion few years spend for which, again, we being at Osisko were looking at doing obviously capital providing financing on-streams of precious metals, specifically silver and/or gold. Moving to the capital allocation question. And first and foremost, as you know, our business is to acquire very good high-quality assets in very good jurisdictions with the strong technical acumen partners. That is our core business. As I said, our pipeline is robust. So we continue to look at opportunities, but we will be disciplined. We do have to obviously make a return for our shareholders. We're cognizant about our hurdle rates. We will be disciplined as we deploy that capital, but that really is the main focus of the company. We do, as you know, pay a dividend and again, it wouldn't be again, rule of thumb, as you know, is historically we paid out anywhere between 20% to 30% -- 20%, 25% of our operating cash flow in a dividend. If you just take what we presented in terms of our 2025 GEO profile, you impute what the existing commodity prices are. I think it's fair to say, coming May when we actually take it to our Board, there should be, again, all things being equal in commodity prices being what they're at, there should be a recommendation by this management team to our Board to increase our dividend and we'd like to keep that cadence up of once per year evaluating the business and if appropriate, we'd increase our dividend to our shareholders given the fact that our yield where we obviously follow that our dividend yield somewhere around 1% or just under 1%. Again, there was a lot to unpack there, Tanya. I don't know if you had other questions.
Tanya Jakusconek: Yeah. I did have some follow-ups. So just on the transaction, I didn't quite get what size range you are seeing and are the opportunities that you are seeing either in the development, it seems rather than already in production? And are we looking for opportunities in 2030 and beyond? I'm just trying to understand how far out these opportunities from a timing perspective.
Jason Attew: So our focus is not 2030 and beyond. We obviously have a responsibility to look at anything that does come in that's of quality. So I will caveat that. In terms of our sweet spot, again, given how we think about our balance sheet, and Fred, our CFO, thinks about our balance sheet. We're very comfortable and this is U.S. dollars of doing transactions between $50 million and $500 million. The majority of the pipeline that we're looking at fits well within that $50 million to $500 million. I would say on a weighted basis, there's more $50 million transactions than $500 million as I think you can appreciate that they're rare, but we certainly have a few opportunities in that $500 million and even slightly above that, but that's really where our sweet spot is, Tanya. And we're seeing plenty of flow that. We think, again, as I stated, if we can get one or two of those transactions across the line in 2025, we'll be very happy because we think that will all accrue to shareholders' benefit.
Tanya Jakusconek: So if we're looking at a shorter timeframe, I would assume that you would be looking at probably more advanced projects in the development phase to be in this -- a timeframe beyond 2030 or far beyond?
Jason Attew: Our criteria -- yeah, our main criteria is either cash flowing assets or assets that will have an impact within our five year outlook. So receiving GEOs, cash flow and consideration prior to the end of again what we put out our five-year outlook to 2029. Again, and there's always exceptions to those, but that's really what our focus is.
Tanya Jakusconek: And then my last question just circles back to shareholder returns. We didn't touch on any share buybacks. How do you rank your share buyback versus your dividend, in terms of returning capital?
Jason Attew: Yeah. So the way we look at share buybacks is certainly a tool. I mean, we did do some share buybacks as you recall, in 2024, a whopping 26,000 shares. I mean, it wasn't much. We know that, but that was directly after, again, we had the disappointment with respect to Eagle and we believed as a management team that from an internal NAV or internal value perspective, there was good value for us to go and buy back shares. And you can see in our disclosure that was slightly below $23, for which we bought back and it was only $26,000, but we're obviously restricted to in terms of volume per day that -- we'd like -- we have liked to bought back a bit more than that. But we'll be, again, disciplined when we think about buybacks as well. If we believe that there's a dislocation in what we think fundamental value is versus what's obviously in the capital markets, we will step in. We can buy up to 9.9 million shares in the marketplace. So again, we will be active if we see the opportunity and really be opportunistic about lowering our share count because as you know, and we've talked about this before, this team in particular is very focused on per share metrics if we can get more exposure to -- for our shareholders to assets on a per share basis like Malartic, like Mantos, like CSA. Those are high-quality accretive transactions for our shareholders.
Tanya Jakusconek: Okay. Thank you for taking my questions. I'll pass it to somebody else. Thank you.
Jason Attew: A pleasure. Stay warm, Tanya. Thank you.
Tanya Jakusconek: Yes.
Operator: [Operator Instructions] Your next question comes from Adrian Day with Adrian Day Asset Management.
Adrian Day: Yeah. Good morning. Thank you. You're obviously very comfortable and liked your copper exposure. I'm just wondering a sort of hypothetical question. If an opportunity came along to perhaps exchange your copper assets for a good quality gold asset, would that be something you'd be willing to do?
Jason Attew: Look, it's an interesting question, Adrian, and thank you for your question. I think, again, we're an organization that's open and we -- I think we've evidenced in 2024 before that we're quite creative on ensuring that we're open to the transactions and structures that are accretive to shareholder value. We as an organization, we are and be very clear and I've been clear with yourself that we are a precious metal vehicle. We'll continue to be a precious metal vehicle. However, we do like certain base metal commodities. We do have a positive constructive view on copper. If there's opportunities on a high-quality asset that we can pick up some more copper, like what we've done with CSA, we certainly will do that. But to answer directly your question, if we see value and there's a good arbitrage of swapping copper out for precious, it all comes down to whether or not that's going to be accretive to shareholders. So yes is the answer. I think it would be a specific set of circumstances. I don't think it's the easiest kind of transaction to facilitate for a whole host of reasons that you would know, but we certainly would be open to it because again, the main thesis and thrust that we put out from an investment perspective is that we are a precious metals vehicle.
Adrian Day: Okay. Now that's helpful. Thank you.
Operator: There are no further questions at this time. I will now turn the call over to management for closing remarks.
Jason Attew: Thank you, Joel. Thanks for your attention this morning. We know that all of you are in the midst of a very busy earnings season, so appreciate you calling in. If for whatever reason your question wasn't answered today or you're looking for more information about our business, please don't hesitate to reach out to Grant or any of the other executives as we are very happy to engage and provide further information. In closing, we believe we've laid out the parameters for a very successful 2025 for our shareholders and look further to providing further updates as we progress through our fiscal year 2025. Thank you very much for your attention today.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.